Operator: Greetings. Welcome to the Brightcove First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Brian Denyeau. Mr. Denyeau, you may begin.
Brian Denyeau: Good afternoon and welcome to Brightcove's first quarter 2021 earnings call. Today, we will discuss the results announced in our press release issued after market close. With me on the call are Jeff Ray, Brightcove's Chief Executive Officer; and Rob Noreck, Brightcove's Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the second fiscal quarter of 2021 and the full-year of 2021, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and up-sell existing customers as well as our ability to acquire new customers. Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations, including the effect of the COVID-19 pandemic on our business operations as well as the impact on general economic and financial market conditions. For discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed annual report on Form 10-K and is updated by our other SEC filings. Also during the course of today's call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market close today, which can be found on our website at www.brightcove.com. In terms of the agenda for today's call, Jeff will provide a summary review of our financial results and update on our operations and review of our strategy. Rob will finish with additional details regarding our first quarter 2021 results as well as our outlook for the second quarter and full-year 2021. With that, let me turn the call over to Jeff.
Jeff Ray: Thanks, Brian, and thanks to everyone for joining today. I hope all of you and your families continue to stay healthy and safe. Video continues to be the most powerful medium to connect people on a global scale. I’m so proud of the entire Brightcove team, and our ability to consistently meet our financial goals, while delivering exceptional product innovation and customer experience. We are off to a very strong start to 2021 with record first quarter sales driven by impressive performances in each region. Our performance reflected video is an essential and rapidly growing technology across both media companies and enterprises. These results reinforce that our strategy is highly relevant, and our team is executing. We will continue to invest in innovation to provide the most comprehensive video delivery and optimization platform with solutions to satisfy multiple business use cases. We have created an optimum direct sales engine while building an extensive channel ecosystem, all while ensuring the success of every one of our customers. Turning to a summary of our financial results. For the first quarter revenue was $54.8 million, up 18% year-over-year and the head of our guidance. Adjusted EBITDA was $8.6 million, up 132% year-over-year, and well ahead of our guidance. In February, we hosted our inaugural Analyst Day. If you couldn't attend, there is a replay of the event on our Investor Relations website. During this event, we outlined our vision for the future of the market and our strategy for aggressive growth. This included three primary focus areas. First, a focus on innovation. Our goal is to create a highly differentiated platform powered by machine learning and AI to deliver superior video viewing experiences and business performance for our customers. This means broadcast quality, reliable and secure video combined with high performing analytics, and purpose built applications that solve specific business needs across a variety of use cases. Add to this an app community marketplace, and our customers will have access to the most comprehensive video solutions for all their internal and external needs. Second, we discussed our expanded go-to-market strategy consisting of a highly scalable global direct sales engagement engine, and an indirect selling model leveraging strategic channel partners globally. And third, we outlined our plans for growth of our customer success and renewals teams, and how it will positively impact our customers and our retention. I would like to provide some updates on the most recent progress we have made in each of these key areas. Let's start with technology innovation. Brightcove prides itself on being a product driven company focused on solving the most complex customer challenges. Our goal is to deliver broadcast quality video to any device to audiences anywhere in the world in the most reliable and secure way possible. We recently released two new solutions that will deliver significant value for our customers. The first is playback restrictions, which provides customers with the ability to protect their content from being watched by unauthorized users. The Brightcove platform makes video readily available to anyone who should see it, and inaccessible to anyone who should not. Whether content is for an internal or external audience, free or monetized, Brightcove playback restrictions provide the right level of security, while still allowing viewers to access content from any device anywhere. Playback restrictions ensures that internal content remains confidential, and that every view counts towards monetization investments, while fully protecting our customers content, and helping maintain brand integrity. We also recently launched Brightcove virtual events for business an intuitive easy to use virtual event solution for highly repeatable midsized events. Virtual events for business is a virtual event creation, marketing and delivery platform designed to easily service the rapidly expanding number of events hosted by organizations. The solution offers customizable event templates, interactive calls to action, post event archiving, multi device support and attendee interactivity features. As well as live clipping of event video to multiple social media channels. Additionally, virtual events for business include Zoom and Microsoft Teams integrations, a registration connector procedure, and user engagement analytics. Many enterprises are planning for life after COVID and want to continue to maximize the extended reach they have achieved with virtual events over the past year and a half. They recognize that video is an essential tool to connect with audiences across all aspects of their organization. With Brightcove virtual events for business, we have made it simple for enterprises to hold high volume, repeatable events. Let's turn now to our go-to-market execution and the broad base of customers leveraging video to achieve success across many different use cases. We had a solid sales quarter with several significant wins. Some notable examples include Box, Inc, a cloud content management platform that enables organizations to make it easy to access information from anywhere and collaborate with anyone. Box chose Brightcove to quickly and efficiently improve its video asset management and to get actionable analytics for its digital marketing team to improve campaign performance. The company also selected Brightcove for our technology reputation in the market. They needed a strategic partner who could share our insights into how the most successful brands in the industry leverage video to work harder and drive more impactful ROI. Giant Enterprises LLC more commonly known as the San Francisco Giants, turned off Brightcove when they were looking for new ways to create regular engagement for season ticket holders, casual fans, sponsors and business partners around the world. With Brightcove, the Giants will be able to create and manage several virtual events both large and small to interact with these different audiences. We signed a Brightcove [indiscernible] with multi-screen, the Singapore based parent for School and OTT provider with 47 million registered users in multiple regions worldwide. School originally developed a homegrown Do It Yourself streaming service that has become increasingly costly and complex to maintain as it scaled its business. The School team chose Brightcove to significantly reduce costs, accelerate their ability to launch new web, iOS and Android experiences and improve customer’s viewing experiences. [Condani] (Ph) is an innovative and well-known commerce service in South Korea that directly connects famous restaurants with consumers by using short video clips to allow the restaurants to display and explain their food. As its business grew, Condani chose Brightcove after it recognized its customer’s expectations and support needs were not met by its previous streaming video provider. Now Condani is reaching more customers on a customized platform and delivering a much improved customer experience with Brightcove. Outside Magazine is an outdoors active lifestyle digital publisher, with an extensive library of ad supported video on demand content viewed by enthusiasts around the world. After facing performance and quality issues with his previous video platform, Outside selected Brightcove for the reliability of the video experience, robust advertising capabilities, strong analytics, playlist support, integration with third-party CMS providers and excellent customer support services. In the first quarter, we welcomed many other new customers to Brightcove. Including Akamai technologies, NewCo, which is a Merck company, GEDI Digital and Hagerty. Additionally, we are proud of the continued commitment from Little League Baseball Incorporated, EMC Corp., Tver, Forbes, Entercom Operations, Sephora and Kraft Heinz, who recently renewed and expanded their contracts with us. We also had another impressive quarter of virtual events powered by Brightcove highlighted by the fantastic success of the “100% digital” South by Southwest online, and South by Southwest EDU online events. Using Brightcove South by Southwest streamed and monetized close to 650 hours of live and pre-recorded content with Brightcove Beacon and our Cloud Playout technology across five different channels. South by Southwest also provided expanded viewing options that lasted weeks longer than the traditional festival. Further extending the reach and impact of its broadcast quality content. After the event concluded, a South by Southwest team member said “Brightcove’s reputation of leadership in the industry went a long way and achieving buy in from filmmakers and talent. The video technology enabled us to accommodate the creativity of our creators and audiences. Brightcove is more than a vendor, definitely a partner. We are looking forward to doing it again together next year.” As we increase the value we deliver to customers a growing number of them are becoming passionate advocates for Brightcove. As a result, we hosted several virtual events where customers joined us to share their views and experiences with video and the impact it has on a broad range of industries, including FreightWaves, the Seattle Symphony, Reverie, USA Volleyball, the Vegas Golden Knights, USGA, the Atlanta Symphony, Adobe, and Synopsis. One of the primary investment areas we highlighted during the Analyst Day, as part of our go-to-market strategy was expanding our partner channel. We made significant progress this past quarter. Signing 10 new partners, including several in Europe and Asia to expand our presence in these regions. Most recently, we announced our partnership with L2 a solution provider for arts and cultural institutions. L2 will integrate Brightcove with Tessitura and Stripe to provide a seamless interface that enables cultural organizations to allow viewers to purchase and stream performances instantly. Over the past year, performing arts and cultural organizations were impacted by the pandemic and stay-at-home orders. These organizations worldwide turn to Brightcove to help reach audiences and monetize their content in a way they have never done before through video. The L2 partnership extends our reach in this critical market. It demonstrates of cultural organizations to recognize videos positive long-term impact and broad audience reach and then it will be a strategic part of their growth, even post-COVID. Scaling or indirect channel is a key strategic priority and the biggest incremental revenue growth opportunity in our business. We are delighted with the progress we have made with the channel and are confident in our abilities to substantially increase sales contribution over the next few years to 30% to 50% of bookings. I would like to finish by providing an update on our work to develop a best-in-class renewals business. As mentioned on our last call, we appointed a new team to lead our renewals business and implemented a new organizational structure. The team has delivered on several important items in the first quarter, including completing a thorough segmentation of our customers based on their needs and support levels, which allows for more touch points throughout the customer journey, building a community and advocacy program to better connect our customer base. The focus of these community groups is on both product and industry needs. And we already have virtual events scheduled with customers in the coming months. And moving forward, we will allocate additional resources and invest in our customer on-boarding process, with new program available to all customers worldwide. We are confident these changes combined with the strategic priorities I mentioned earlier will significantly impact our renewals business by making Brightcove an increasingly valuable part of our customers businesses. We are applying the same principles that we use with our products and go-to-market teams and we are confident that we will have the same level of success. As I have noted previously, it will take time for the impact of these changes to be apparent. But we expect investors will begin to see sustainable improvement in the second half of this year. I would like to wrap up by reiterating what an exciting time this is for Brightcove and how proud I am of our team. Video continues to increase in importance for media companies and enterprises. And they are turning to Brightcove as their strategic partner. Our product portfolio is the best it has ever been. And we have an aggressive development roadmap that we believe will enhance the value we deliver for customers. We have an exceptionally strong team showing evidence of execution in all areas of our business. We are in a great position to accelerate revenue growth, expand margins and create value for our shareholders over time. With that, let me turn the call over to Rob to walk you through the numbers. Rob.
Robert Noreck: Thank you, Jeff and good afternoon everyone. I will begin with a detailed review of our first quarter and then I will finish with our outlook for the second quarter in the full-year 2021. Total revenue in the first quarter was $54.8 million, which was above our guidance range. Breaking revenue down further subscription and support revenue was $50.8 million and professional services revenue was $4 million. 12-months backlog, which we define as the aggregate amount of committed subscription revenue related to future performance obligations in the next 12-months, was $117.1 million. This represents a 17% year-over-year increase. On a geographic basis, we generated 56% of our revenue in North America during the quarter and 44% internationally. Breaking down international revenue a little more. Europe generated 16% of our revenue in Japan and Asia-Pacific generated 20% of revenue during the quarter. Let me now turn to the supplemental metrics we share on a quarterly basis. Our recurring dollar retention rate in the first quarter was 85%, which is below our target range of low to mid-90s. We had two relatively large media customers that downgraded or did not renew during the quarter. Jeff outlined the progress we have made operationally to improve our renewals performance. There was a natural lag between when these changes are implemented. And when they begin to positively impact our retention rate. We expect our retention rate to be under continued pressure in Q2 before we see sustainable improvement in the second half of the year. Our customer count at the end of the first quarter was 3,312, of which 3,273 were classified as premium customers. Looking at our ARPU within our premium customer base, our annualized revenue for premium customer was $97,000, which was up 15% year-over-year, and excludes our entry level pricing for starter customers, which averaged $4,300 in annualized revenue. Looking at our results on a GAAP basis, our gross profit was $35.6 million. Operating income was $6.1 million and net income per share was $0.12 for the quarter. Turning to our non-GAAP results. Our non-GAAP gross profit in the first quarter was $36.2 million, compared to $28.8 million in the year ago period, and represented a gross margin of 66%, which was up nicely from 62% in the first quarter of 2020. Subscription and support revenue represented approximately 93% of our total revenue and generated at 7% gross margin in the quarter, compared to a 64% gross margin in the first quarter of 2020. Non-GAAP income from operations was $7.2 million in the first quarter, compared to $2.3 million in the first quarter of 2020. Adjusted EBITDA was $8.6 million in the first quarter, compared to $3.7 million in the year ago period and above the high end of our guidance range for the quarter. Adjusted EBITDA margin was 16% in the quarter an all time high, investing in our key growth areas, while improving our profitability as an important part of our strategy. We are pleased with the progress we have made to date. Non-GAAP, diluted net income per share was $0.15, based on 42.5 million weighted average shares outstanding. This compares to net income per share $0.04 and 39.4 million weighted average shares outstanding in a year ago period. Turning to the balance sheet and cash flow, we ended the quarter with cash and cash equivalents of $35.2 million. We use $604,000 cash flows from operations and free cash flow was a negative $2.1 million. After taking into account $1.5 million in capital expenditures and capitalize internal use software. I would like to finish by providing our guidance for the second quarter and full-year 2021. For the second quarter, we are targeting revenue $49.5 million to $50.5 million, including $1.5 million of overages and approximately $2.7 million of professional services revenue. From a profitability perspective we expect non-GAAP operating income to be $1 million to $2 million and adjusted EBITDA to be between $2.4 million and $3.4 million. Non-GAAP net income per share is expected to be in the range of $0.02 to $0.04 based on 42.9 million weighted average shares outstanding. As a reminder, our revenue guidance reflects the retention dynamics in the first quarter I discussed earlier. We expect quarterly subscription revenue to return to sequential growth starting in the third quarter. For the full-year, we are maintaining our previous guidance. We continue to target revenue of $211 million to $217 million, including $6 million of overages and approximately $12.5 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income of $20 million to $25 million and adjusted EBITDA to be between $25.5 million and $30.5 million. Non-GAAP net income per share is expected to be in the range of $0.43 to $0.54, based on 43.1 million weighted average shares outstanding. For the full-year, we are now targeting free cash flow of $15.5 million to $20.5 million. Reduction in our cash flow guidance is primarily driven by the weakening Japanese yen. To wrap up, Brightcove delivered another strong performance in the first quarter. We are executing well against our strategic priorities and increasing the value we deliver to our customers. We believe this position us well to drive even better top and bottom line performance as we continue making progress towards our goal of being a rule of 40 company. With that will not take your question. Operator, we are ready to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Mike Latimore with Northland Capital Markets. Please proceed with your question.
Mike Latimore: Thanks, yes congratulations on a great start to the year. I think the last quarter; you said you expect about 3.1 million of revenue churn this year. Is that still roughly what you are thinking about?
Robert Noreck: Yes, I think that was - we called that out specifically to two customers that we knew returning. The reality is in the first quarter is a little bit heavier than that. But as we said in the prepared remarks as we go forward in the year, we expect that in Q3 we will return to quarter-over-quarter sequential growth on the subscription revenue.
Mike Latimore: And then any comment on bookings I think last quarter, you said there was a record bookings quarter. How our bookings in first quarter relative to say normal first quarter bookings?
Robert Noreck: Yes, it was actually our best first quarter ever from a booking standpoint.
Mike Latimore: Okay. And then from a channel standpoint, I think you did 20% last quarter. How did this channel perform this part?
Robert Noreck: So we saw good traction in terms of the number of channel partners that we saw we talked about in the script that we signed about 10 new channel partners, but we were a little bit down quarter-over-quarter in terms of the percentage of business that rolled through the channel. As we look at that, though, it is not indicative of where we see the channel going. We continue to see the channel driving 30% to 50% of our new bookings in the future.
Mike Latimore: Great. And then just last on virtual events, any sort of qualitative commentary on the demand or the pipeline are you seeing there?
Jeff Ray: Hey it is Jeff. How are you doing Mike. Demand solid and as we talk to customers, there is no discussion about well, when we come out of COVID, we are going to just go back to live events, we are not going to do virtual events anymore. We continue to see interest in making this part and parcel to what they do. And in fact, that is why we announced the new virtual events for business. We found that we were overly complicating things, this is one of the dangers of having media quality, broadcast quality technology is it can be kind of overwhelming, when we go in to talk to the CMO or someone on the CMO staff about events. And so we said, let's make this a lot simpler, easier to understand. Let's bundle this in a way that they can easily consume it. And also, let's just go after a little bit more of the mid-market business. So we are feeling good about where we are with that. We also have a pretty aggressive product pipeline in terms of new features and enhancements as product teams committed to. So we know what we need to do to enhance the functionality features. We also have a great partner community that rounds out the kids. So where there are gaps that we can't fill. We have great partners that are stepping in to do that.
Operator: Our next question is from Steven Frankel with Colliers. You may proceed with your questions.
Steven Frankel: Good afternoon. Rob, can you just start, you get a little more clarity on this retention issue. You had telegraph. The two customers that were going away in Q2 leading to that sequential balance. So are we to read into the Q1 number there were some other customers that turned off as well and in Q1?
Robert Noreck: That is right. I talked about that in the script where they are actually two additional media customers, one of which downgraded in a similar situation to H4 last year, when they brought a portion of the business in-house. And one of which was actually a consolidation on platforms within a company at post merger. And then we have two more to go through in Q2. And then as you look at your portfolio of media customers. Do you think you are through a lot of this term? Or is this something that is just the nature of the media consolidation, and you are going to have to deal with this going forward?
Jeff Ray: This is Jeff, hey Steven. There is certainly turning media, there is, I mean, you see it every day, right? So what Verizon announced today. But I'm excited about the way we are getting control of this for the things that we can't control. We had sent a message to everybody last summer that we were going to really address renewals from the ground up and across and we have done that. We are now fully deployed with the new renewal strategy, new organization model, new people in leadership roles, new processes, much more precision in tracking out a rolling 12-month risk assessment of our largest customers. Be it enterprise or media so that we do a better job of anticipating and predicting that and heading that off in the past. Better use of technology and best practices. And as Rob said, we expect that while we are excited about where the team is in their progress against the plan, we don't see this really helping us until the second half of the year.
Steven Frankel: Okay. And then ARPU was surprisingly strong, even last quarter was boosted by that Japanese onetime event. Do we contribute this sequential strength to South by Southwest or even just doing a good job of kind of selling a word or initial package, then?
Jeff Ray: Yes, it really wasn't South by Southwest. South by Southwest bought more of a kind of annual license, they didn't really buy just for the short period of the event. Because they lost that on beacon. There is the follow on content on access to that content. So that revenue didn't all take place in Q1. What you saw in the first quarter was continued growth in kind of those initial new deals, but also expansion with our current customers.
Steven Frankel: And then give us some color on the margin pressure in Q2, obviously, yes. Revenue stepped down in the subscription support side, but there is a lot of margin pressure. They are making more than that I would have thought. What's behind it in Q2?
Jeff Ray: I think there is two things. One is obviously the revenue stepped down. We are not pulling back on operating expenses in the second quarter in line with that. The second piece is we are continuing to invest in sales and marketing. We see the opportunity in front of us and we are continuing to make those investments so we can capitalize on that.
Steven Frankel: And then lastly, what were overages quarter?
Robert Noreck: Overages are right around $2.2 million.
Operator: Our final question is from Eric Martinuzzi with Lake Street Capital. Please proceed with your question.
Eric Martinuzzi: Yes, want to dive into the additional turnover - churn issues that you talked about for Q1. I understand, the downgrade and somebody takes it in house, but just wondering on the platform consolidation, was that consolidating to an in-house platform also or was that a consolidate into a competitor's platform?
Robert Noreck: Yes, it was consulting to a mix of platforms across. It was enjoying OTT and then some video delivery. So it was consolidating to really a competitor, not an in-house platform. And again, it was around one company had two platforms in the parent company one.
Eric Martinuzzi: And then as I look at the kind of implied for 2021, just backing off the services, guidance from the full-year guidance. And then knowing that we are going to kind of trough here in Q2 on the subscription and then raise our head back up in Q3. It does look like a pretty substantial implied step up. I'm wondering, that guidance as you have got, as we decline here in Q2, do we spread that subscriptions step up kind of equally across quarters, or does it kind of pop back up in Q3 and maintain?
Robert Noreck: Yes, I would think you would see a relatively consistent step from Q2 to Q3, and then Q3 to Q4.
Eric Martinuzzi: And then when you talk, I think, Jeff, you may have touched on this. But we are talking about virtual events for business, for virtual event creation. I think last summer you had a product, or capability platform, whatever the terminology, virtual event experiences. Is that what you mean, this is kind of a template version of that same product that came out a year ago, that was more of a toolbox?
Jeff Ray: This makes it easier to buy it and to deploy it. We have done enough of these now to know where the sweet spot is. We also know where our partners products do a great job of augmenting where our gaps are. And so we are just collectively taking that experience and putting it together. Also this time around, I think we have just got a stronger marketing organization that knows how to use better precision in targeting those CMOs and those businesses that will find this attractive. So it is that collected experience, and applying that knowing kind of where this market is headed. And again, in addition to this, in serious investment from R&D and engineering, and continuing to add more functionality and features in the products.
Eric Martinuzzi: Good. Alright, I appreciate the answers there. Thanks for taking my questions.
Robert Noreck: Thank you Eric.
Jeff Ray: Thanks Eric.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call over to Jeff Ray for closing remarks.
Jeff Ray: Thank you. Again, well what a great quarter. It was a lot of fun seeing everything come together. We know, we still have some challenges in renewals. We recognize that last summer. And I believe, we are well on the path to resolving that. And while I have talked a lot about the things we are doing and renewals being registered will remind you that there are four legs to this stool. As we fix this. It is more than just building out a much, much stronger renewals team and process. It is also continued aggressive investment in enterprise class applications that have specific solutions that solve specific business problems. Those are naturally more sticky. Also expanding the app developer community, because the platform is built on open API's. And we offer SDK that makes it very easy to go out and recruit app developers who extend what we do and ultimately make the product more sticky. And then finally, you will just start seeing a whole lot more later this year about the investments that we are making in data analytics, and machine learning. So that particularly our media companies, every month, we are getting more and more valuable actionable data from their use of our video. So we feel great about the year, I'm proud of what the team has done. And for us, it is back to business. Thank you everyone and continue to stay safe days.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation. Have a great evening.